Operator: Welcome to Workday's Second Quarter Fiscal Year 2020 Earnings Call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the call. And with that, I would like to hand it over to Mike Magaro, Vice President, Business Finance and Investor Relations.
Michael Magaro: Welcome to Workday's second quarter fiscal 2020 earnings conference call. On the call we have Aneel Bhusri, our CEO; Robynne Sisco, our Co-President and CFO; Chano Fernandez, our Co-President; and Tom Bogan, our Executive Vice President of the Business Planing Unit. Following Aneel and Robynne's prepared remarks, we will take questions. Our press release was issued after the close of market and is posted on our website, where this call is being simultaneously webcast. Statements made on this call include forward-looking statements regarding our financial results, applications, new product offerings, customer demand, operations and other matters. These statements are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors and documents we file with the Securities and Exchange Commission, including our most recent Quarterly Report on Form 10-Q for information on risks, uncertainties and assumptions that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Workday's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results in our earnings press release and on the Investor Relations page of our website. The webcast replay of this call will be available for the next 90 days on our Company website under the Investor Relations link. Also the customer's page of our website includes a list of selected customers and is updated monthly. Our third quarter quiet period begins on October 15th, 2019. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2019. With that, let me hand it over to Aneel.
Aneel Bhusri: Thank you, Michael. And hello, everyone. Thank you for joining us today. I am pleased to share the details of another very good quarter. In Q2, we continued our momentum as we partner with our customers to drive digital transformation across cloud finance and HR. Let me share some of the highlights beginning with HCM. As of today, more than 40% of the Fortune 500 and approximately 50% of the Fortune 100 have selected Workday for their core HCM platform. And as we continue to expand our efforts globally, 17% of the Global 2000 have also selected Workday for their core HR system of record. In the second quarter, some of the new customers we added included the Gap, Stanley Black & Decker and Rockwell Automation in North America, Aldi Stores Limited in Europe, and Bunnings Group Limited in our Asia-Pacific, Japan region. Our continued success globally is a direct reflection of the value we place on live, happy, and referenceable customers. Notable go-lives in Q2 included, Deutsche Bank, Home Depot and PNC Bank. Our customer satisfaction rate remains amongst the highest in the enterprise cloud software industry and the success of our customers an incredibly important part of our enduring business longer term. Shifting to cloud financial management. We had another strong quarter with approximately 50% revenue growth. In Q2, we added a Fortune 100 insurance company which was another in a growing trend of financials first customers. In addition to this large new customer, we also added the City of Baltimore, Veolia, UK, and the Government of Singapore. These are just a few of the many new customers which selected Workday for their core financial management applications in Q2, bringing our total customer base for this product line to over 725. Also and equally importantly, we had several customers go-live on financial management in Q2, including H&R Block, Loews Corporation and Shake Shack. In addition to the strong performance from our core financial application, we continue to see great opportunities with Adaptive Insights Business Planning Cloud, as we officially lapped the one year anniversary of the acquisition. In Q2, Adaptive Insights added over 200 new planning first customers and over 45 new platform and upsell deals to new and existing Workday customers. We believe that with the depth and breadth of our cloud-based finance products, in combination with our industry-leading HCM suite, Workday Prism Analytics and the Adaptive Insights Business Planning Cloud, we are delivering a global solution as highly differentiated and critical for empowering business leaders to plan execute analyze and extend all in one system and powered by machine learning, and we continue to invest in areas that leverage our strengths and open up new market opportunities. I now like to spend a few minutes talking about innovation. As you know, innovation is a core value and part of our DNA at Workday. First of all, I am pleased to share that Fast Company recently named Workday as one of the 50 Best Workplaces For Innovators. We are very proud of that distinction that even as we maintain our very fast pace of employee growth around the world, our Company culture around innovation remains strong. We have a lot of product innovation as we look ahead to our upcoming Workday 33 release and I'd like to mention just a few. First for HR, we continue to hear from our customers that addressing today’s skills gap is critical as they look to better develop and re-skill their workers and prepare their workforce for the future. We continue to leverage machine learning built into the core of Workday to broaden our skills cloud offering with two new features, skills minor and skills insights to help customers better understand and manage skills across their organizations. In financial management, we’re using machine learning to detect anomalies. Anomalies will be flagged as they occur affording users an opportunity to detect and correct potential reconciliation issues when they happen rather than during the high pressure month-end close. And on the analytics front, we are making data insights available to all, for both finance and HR, with data discovery boards for Workday Financial Management and Workday HCM, allowing users to quickly visualize data, detect patterns and discover insights all within Workday. We look forward to sharing more about our product innovation, customer success and market opportunity in October at Workday Rising, our annual customer conference. The Financial Analyst Day takes place on October 15th in Orlando, and we look forward to seeing many of you there. And now over to you, Robynne.
Robynne Sisco: Thanks, Aneel. And good afternoon, everyone. We delivered solid second quarter results, with total revenue of $888 million, reflecting year-over-year growth of 32%. Our subscription revenue was $757 million, up 34%. Our professional services revenue came in at $131 million, up 23%. Revenue outside the US was up 35% year-over-year to $211 million, representing 24% of total revenue. Subscription revenue backlog was $7.03 billion, growth of 27% year-over-year. Growth was driven by solid results across net new bookings, add-on business and net retention, which was once again over 100%. Also impacting Q2 backlog growth was a duration headwind of approximately 1%. Subscription revenue backlog that will be recognized within the next 24 months was $4.77 billion, growth of 28%. Current unearned revenue was $1.80 billion in Q2, up 29% year-over-year, while total unearned revenue grew 27% to $1.89 billion. Our non-GAAP operating income for the second quarter was $118 million, resulting in a non-GAAP operating margin of 13.2%. Margin overachievement was driven by a combination of top line over performance and the shifting of certain expenses from Q2 to the back half of the year. Operating cash flow in Q2 was $100 million. We continue to invest in our people and in attracting top talent to Workday. During Q2, we successfully added and integrated approximately 470 net new employees, bringing our total workforce at the end of the quarter to over 11,400. We continue to execute very well operationally and are pleased with our solid first half results. I’ll now turn to guidance. Our focus remains centered on investing in our products and other areas of the business to support our long-term growth aspirations. Based on our over performance in Q2, but keeping in mind we face very difficult second half comps from last year, we are providing Q3 and full year guidance as follows. For subscription revenue, we’re raising our FY '20 estimate to be in the range of $3.06 billion to $3.07 billion, 29% growth at the high end. We expect our Q3 subscription revenue to be $783 million to $785 million, 26% growth at the high end. We are raising our professional services revenue guidance to $520 million for fiscal 2020, as we continue to focus on driving the highest levels of customer success. For Q3, we expect professional services revenue of $135 million. For non-GAAP operating margins, we estimate Q3 to be approximately 10.5% and we still anticipate 12.3% margins for the full year. The GAAP operating margin is expected to be lower than the non-GAAP margin by approximately 28 percentage points in Q3 and for the full year. We still expect subscription revenue backlog growth in the low 20s in the second half, and there is no change to our FY ‘20 operating cash flow guidance of $790 million. We continue to expect the full year capital outlay for our owned real estate projects to be approximately $130 million, of which $95 million relates to the development center in Pleasanton. There is no change to our fiscal 2020 plan of $280 million for other capital investments to support our customer growth and continued business expansion. I’ll close by thanking our amazing customers, partners and employees for their continued support and hard work. We had a solid first half of the year and we’ll continue to focus on our customer success. We look forward to seeing many of you at Workday Rising in October, as we share more insights on our strategic product initiatives and long-term market opportunity. Operator, let’s begin the Q&A process.
Operator: [Operator Instructions] Your first question comes from Richard Davis from Canaccord.
Richard Davis: Hey, thanks very much. So I talked with a early user of your Platform as a Service and they like it, and they said there is obviously a few little mix that's they are working on and stuff like that. But the thing they really like the best was, you’re not kind of pigeonholing them into a specific database and things like that. But I guess, the main question is, what point does this kind of become widely available or what are the gating issues that we need to address to kind of make this thing running full speed and fully available? Thanks.
Aneel Bhusri: Thanks for the question Richard. It’s available today in what we call limited GA, which means it is actually widely available, but it’s around a set of well-defined APIs and particular areas of the product. And going into next year 2020, calendar year 2020, we expect to have the broader set of APIs available where we will be in through general availability across all aspects of the product line.
Richard Davis: Got it. And then a quick follow up on technology. You know one of the things that I was talking to someone at WakeMed, and they just said one of the big problems they had is all but credentialing that they do is on a paper. And you guys already - I don't know what you - it's a system of record for people. Is there a way that you could digitize that stuff in a safe way, so it's not - so it's private and stuff like that, because it's not just driver license, but it's records and all this other stuff and all that and you - are you guys working on that direction?
Aneel Bhusri: We actually introduced Workday Credentials, which is exactly what you described at our Altitude conference just a month back, which is our professional services conference for both our professional services and our partners professional services people. Jon Ruggiero actually wrote a blog which you can see in our website about Workday Credentials and you learn – you’ll see a lot more about it at Workday Rising. It’s a very exciting new area for us. It's been under development for 18 months and it accomplishes exactly what you described Richard.
Richard Davis: Perfect. Thank you so much.
Operator: Your next question comes from Brent Bracelin from KeyBanc Capital Markets.
Brent Bracelin: Good afternoon. One for Aneel and one for Robynne if I could. Aneel, if you look at the international expansion strategy, you talked about, I think, having only what 17% penetration in the Global 2000. It looks like international revenue was less than 25% of the business. Can you just remind us where you’re at relative to international expansion? What are your efforts there to kind of really accelerate the footprint internationally? Thanks.
Aneel Bhusri: So I’ll take a crack at it, then I’ll ask our President, Chano Fernandez, to weigh in as well. We’re very focused on selling to large multinationals, and so as a result, we’re focused on the large national - multinational markets, UK, France, Germany, in Europe, Japan, Korea, those really have been the big markets outside the US moving into Mexico, but it really has followed sort of the G8, G10 countries. And I would say at this point, we’re pleased with the results. We’ve actually done quite well on the Asia-Pac region and Australia, New Zealand as well. It’s still early on and it's a combination, both of us going into those markets and those markets just coming online into moving into the cloud for HR and finance more aggressively. I’d say the market is - outside the US is three or four years behind where we are in the US today. Anything you want to add Chano?
Chano Fernandez: I would like to highlight that as Aneel is commenting, we are pleased with the progress and results in our international markets. We remain very focused there. I think on top of our traditional large enterprise focus, we are really having and seeing great results and success in the medium enterprise, since we took to the same implementation and project methodology from the US into markets like Germany, Nordics, France and some others, and we’re seeing great traction. So you know early days and a lot of opportunity still to be captured from us in the international markets, but great customer satisfaction so far and great progress.
Brent Bracelin: Helpful. And one quick follow-up for Robynne. Just looking at calculated billings growth, it looked like that peaked last year during Q3 at 48% year-over-year. How should we think about that compare – you’re talking about I think 20% plus growth in the second half, but should we put consideration around our calculated billings growth assumptions for Q3 given that tough compare a year ago?
Robynne Sisco: Yeah, I mean, we’ve got tough compares across all of our metrics in the back half of the year. So definitely keep that in mind. I would expect that our earn - unearned growth rates would be largely in line with the subscription revenue backlog numbers that we gave you. So you can infer from that what billings would be.
Brent Bracelin: Okay, great. Thank you. Helpful color.
Operator: Your next question comes from Mark Murphy from JPMorgan.
Mark Murphy: Yes. Thank you, Aneel. Just given all the headlines and cross-currents that are out there. We have had a few software companies start to encounter some problems driven by Brexit or the trade situation. You know, looking at this in contrast, your results and guidance are showing real health, real consistency. So just curious if there is anything worth mentioning on the macro side in terms of business confidence or what you’re hearing from other CEOs, whether they have any incremental concerns or not?
Aneel Bhusri: So when I look at our pipeline across all the product lines, they are very healthy. So we’re not seeing any impact on our pipelines. But there is no question, there is uncertainty in the air. And I think the CEOs, you talk to the closer they are to doing business in China, the more uncertainty they feel. So I just think we’re taking a wait and see and listen to our customers mode. We haven't seen any issues in the pipeline. But the way that it would materialize, I think for most tech companies would be seeing things slow down here, which we haven’t. But I know there’s a lot of uncertainty in the air and we are trying to – we’re trying to read tea leaves the same way you are.
Mark Murphy: Okay. That makes sense. As well Robynne I wanted to - just mentioned, it’s great to hear you're adding a Fortune 100 company as a financial customer, and I am just curious, what are you inferring from having an enterprise of that kind of scale. You’re moving forward with financials first, I think, is how you described it, because that’s been so rare in the past. So I’m just kind of wondering is it a reflection of product maturity or enterprise readiness or something else?
Robynne Sisco: Yeah, Mark, I think it's actually both of those things. We had mentioned a couple of quarters ago that we were starting to see financials first - large financials first deals in our pipeline, which had been a change. We still see those. I would expect that those wins will be lumpy as with all of our large deals and that they will kind of ebb and flow. But I do think we’re at a convergence point now where our product is ready and has been for a while and now the market is ready up in that large enterprise space as well.
Mark Murphy: Thank you.
Operator: Your next question comes from Mark Moerdler from Bernstein Research.
Mark Moerdler: Thank you very much. I appreciate. Congrats on the quarter. Two separate questions. First one is, are you seeing any change in the number of opportunities or the size of the opportunities entering the pipeline for financials. I’m trying to get a sense of how the early stage of that pipeline is starting to mature? And then a follow-up question.
Chano Fernandez: I think, Mark, as we’ve been commenting, we - I mean, when I look at the pipelines for financials second half and beyond, we are pleased with what we have and what we would be building both in the US and the rest of the world. We are seeing more traction in a couple of verticals, very consistent with what we commented before. Those are mainly financial services and healthcare in the large opportunities. But yes, we see that is moving up market and yes it is growing our financial pipeline faster clearly than our - than being on our core business lately.
Mark Moerdler: Perfect. Excellent. Very helpful. I’m going to ask, given how good the quarter and clean the quarter was, I’m going to turn to something investors don’t generally hasn't talked about and that's the GAAP margins. Pro forma margin is improving, how should we think about, when the GAAP margins will start to improve return positive. What are the factors that can drive? And any color would be interesting.
Robynne Sisco: Yeah, so as you know, stock is a very important part of our compensation philosophy here at Workday, and so we should continue to expect that we’ll spend a good portion of our revenue, 20% now, but nothing declining in the near future going forward. So as we reach towards the 2020 mid '20s non-GAAP revenue, that's when we would expect to start to look towards the GAAP profitability.
Mark Moerdler: Okay. Thank you. I appreciate it.
Operator: Your next question comes from Kirk Materne from Evercore ISI.
Kirk Materne: Thanks very much and congrats on the quarter. I guess, Aneel, I was curious just about your thoughts on the Adaptive a year after the acquisition, just maybe some thoughts on how it’s done, I guess, relative to your expectations, which I know you were high going into it? And maybe anything that's been surprising to you, just on maybe a positive basis whether it’s help stoke more conversations around the financial organization broadly, you know just maybe a little bit more color on kind of how that’s panned out relative to what you thought a year ago would be great.
Aneel Bhusri: Yeah, it’s obviously been a great year. Dave - my co-founder Dave Duffield and I were actually at in a plan for an all-hands meeting there yesterday with Tom Bogan, our - the CEO and my good friend. And all the key people are at the company, there is a lot of momentum. We’ve had a great first year. What I think we expected to happen was that the product would be a great fit up market with the Workday customer base and it has played out that way, and it’s actually happen probably faster than either Tom or I would have imagined, we’ve had some really big wins like Airbus and AstraZeneca choosing the Adaptive product line. I think the really positive pieces at the standalone Adaptive business has continued to be very healthy independent of being attached to Workday, and so it really has worked out extremely well and I think it all starts with the most important thing, very, very similar cultures. We both care about our employees, we both care about our customers, high integrity places and so. If there were five more Adaptive, we would probably look at making acquisitions like that, unfortunately those are - there are few and far between, really - really a phenomenal first year.
Kirk Materne: That’s great. Maybe just one quick one for Robynne. Robynne you mentioned more spending pushing into the second half of the year. Was that - I mean hiring seems strong, so I guess it is just some one-off items that are maybe pushing a little bit in the second half versus expectations?
Robynne Sisco: Yeah, we were slightly behind on hiring, but nothing that was very impactful and nothing that's going to jeopardize all the good work that we have planned this year. Most of the slippage was, what I would call, program spend, things like advertising and other types of program initiatives that just moved out of the quarter and are going to start a little later in the year.
Kirk Materne: Sounds good. Thanks very much.
Operator: Your next question comes from Alex Zukin from RBC.
Alex Zukin: Hey, guys. Thanks for taking my question. Hey guys. I just wanted to ask on, maybe first on Adaptive. Are you starting to see or maybe can you talk about the cadence of Adaptive leading to more kind of core financials deals? And I've got a quick follow-up.
Aneel Bhusri: There is no question. It’s helped on the pipeline for financials. And I mean, the key is, if you were to look at the CFO priorities, planning is way at the top of the list and Adaptive has a best in class planning product, both for finance and increasingly for workforce planning. And so it's a great entry point and broadens the conversation. And if a customer is not quite ready for core financials, we’re still okay with that, we’ll get into the door with planning and can follow it up later. But I think it just - it broadens the appeal. There’s just no question, it broadens the appeal. I think Prism Analytics does that as well. So having that broader product footprint for the financials customer base has been really important for us.
Alex Zukin: Perfect. And then, maybe just one for Robynne. Is there any way to conceptually think about the impact of Adaptive on the subscription backlog numbers or kind of how we should think about that going forward?
Robynne Sisco: Yeah. So when we bought them in Q3, we disclosed that we had inherited a $140 million of Adaptive backlog. And so we got that benefit Q3 of last year, which obviously impacted the bookings number as well. So it’s a very tough comp for us starting in Q3 and into Q4.
Alex Zukin: Got it. Thank you.
Operator: Your next question comes from Keith Weiss from Morgan Stanley.
Keith Weiss: Hi. Thank you for taking the question guys, and congratulations on a good quarter. You continue to make good progress, adding new customers into the fold and it’s definitely kind of more to go, particularly in international. I wanted to take the other side of that equation in terms of the progress and upselling into existing customers, maybe get an update on how that's going with sort of the broader HCM portfolio and the ability to sort of further penetrate into some of the existing customers?
Chano Fernandez: Keith, I’m Chano speaking. We are pleased on how that business is doing. In terms of the attach ratios, I would say starting with selling, financials, back into our HR installed base and then clearly planning, prism, recruitment, learning. I think most of our attach rates and our products are doing very well, which is great, because as we said before, it is taking off pressure from a growth perspective from the core HCM. We usually have disclosed some of those attach rates number on the Analyst Day around Workday Rising. I’m sure we will do this year. But stay tuned, but good progress.
Aneel Bhusri: I would just add, I think it's been really good progress since China put a more dedicated focus on customer base, but we could also still do better as we’ve embarked on a pricing study with one of the top consulting firms. It’s very clear that we are still more geared towards net new from new logos then from our customer base and that’s probably different than the other cloud peers out there. So it’s an area of high interest for us.
Keith Weiss: Got it. That makes sense. And then a follow-up for Robynne. Given the like - the uncertainty that Aneel was speaking to within the customer base, I understand, it’s not in your pipeline, but does that impact your kind of forecasting methodology at all, like in terms of the guidance you gave - did any more conservative on any of kind of the inputs that you guys use and putting up at the back half of the year?
Robynne Sisco: So, as you know, we’ve said all along that we’re more back-end loaded this year than we have been in other years. So we’ve definitely taken that into account in our guide and we’ve got a large pipeline and we’re focused on executing against that and we’re looking forward to updating you more next quarter.
Keith Weiss: Got it. Thank you.
Operator: Your next question comes from Kash Rangan from Bank of America Merrill Lynch.
Kash Rangan: Hi. Thank you very much. Congratulations team on a fantastic quarter. I wanted to ask a little bit about the core HCM product. Aneel, you mentioned that personal 40% of Fortune 500 have standardized on Workday and you also mentioned 17 - only 17% penetration of the Global 2000. In markets like this where the number one player generally tends to get dominant market share. Are we still targeting that kind of market share that you have with the Fortune 500 on a global scale, and so therefore, not to put words in your mouth, but how do you think or how sustainable do you think is the growth rate for the core HCM product line, especially given this difference between penetration levels of the Global 2000 versus Fortune 500. What does the company need to do in order to get to that equally dominant position on the Global scale as you have with the Fortune 500? Thank you.
Aneel Bhusri: So I’m not going to sign probabilities, but obviously aspirationally we’d like to have the same market share in the Fortune 2000 that we do in the Fortune 500. And by the way, we’re at 40% of the Fortune 500. I expect that to continue to rise. There is still - there is still probably 200 accounts that have not made decisions yet. The Fortune 100 was the first group to make decisions and there we know we have - we're also around 50% of the Fortune 100. For the rest, as long as we can continue to execute and take care of customers, I don’t see why we can't have high penetration rates of the Global Fortune 2000. It’s incumbent on two things. Number one, continuing to expand globally and reaching those opportunities and they’re not all in the countries we’re in. There are probably some opportunities that are in places that were not yet selling to. So we have to factor that in. And number two, some of those markets as we talked about earlier are still very early on in their cloud migration and so that’s probably the most important focus for us as to be there as these companies begin to migrate of with their legacy systems. But it’s opportunities out there and it gives me confidence that the HR opportunities continue to be a long-term opportunity and there are so many modules that we can go back into these customers with, even modules we haven’t even brought to market yet. So very confident, it’s a big enough market to continue to support our growth.
Kash Rangan: Wonderful. And if you have a couple of words on replacement of legacy SaaS installations. Is that still a tailwind for you guys as it was the case a couple of quarters back? That's it from me. Thank you.
Aneel Bhusri: Legacy SaaS meeting failed, meaning either bolt-ons that we're replacing or core systems of record that failed in the cloud from...
Kash Rangan: Exactly.
Aneel Bhusri: From one of our competitors that - I think that will continue to be a trend for us and an opportunity for us. When you get to - when you look at the Fortune 500, candidly neither of our large competitors have real proof points over 100,000 employees or even over 50,000 employees that are in production and a huge part of our success has been not just winning the customer by giving them into production and having them be happy. I think the stats are, we have of the approximately 50% of the Fortune 100 that are using Workday, 35% or 35 of that 50 is already live, right. So that’s a huge advantage. And when people have a failed project, the next thing they wanted to is, get the sure thing and make sure that it works, and that’s where we hopefully come into play.
Kash Rangan: Wonderful. Thank you so much.
Operator: Your next question comes from Derrick Wood from Cowen & Company.
Derrick Wood: Thanks. First one Aneel, you changed up some leadership and leadership structure in your international regions during the quarter. Could you just talk about the reasons for the changes or maybe just comment with the new leadership and structure kind of what you're hoping to sharpen your focus on?
Aneel Bhusri: I’m going to turn over that to Chano.
Chano Fernandez: Yeah, international remains - Derrick, international remains a very big focus for us within the sales organization. And as we said, we are happy with the progress. We also said that there were a couple of countries where we had opportunities for better performance and to improve. So that's part of that process. We promoted someone within the company that has been with us for quite a few years and we are very - and really, really excited about the opportunity ahead. Personally, I am.
Derrick Wood: Okay. And Robynne, you mentioned last quarter, I guess this quarter, again, it’s more of a back-end loaded quarter or back-end loaded year. You maintained the low 20% backlog growth for the second half. Can you just give us some color as to what you think around, you know, kind of Q3 versus Q4 and whether it’s more weighted towards higher growth in Q4? Any color there would be helpful.
Robynne Sisco: Yeah, Derrick, it is more weighted towards Q4 than last year. So we had a more even distribution particularly when it comes to the large deals last year than we have this year and we’re seeing really back-end loaded into not just the second half but into the second quarter. And then - I mean sorry, the fourth quarter. And then on top of that, we're facing really difficult comps from lapping the Adaptive acquisition.
Derrick Wood: Okay. Thanks.
Operator: Your next question comes from Raimo Lenschow from Barclays.
Raimo Lenschow: Hey, two quick questions. Congrats from me as well. Can I go back to Adaptive, like when you got it, Aneel, like it was more focused on SMB and - but you kind of were convinced that the core technology was really good to just scale it up. Could you talk a little bit about the progress you've made there. And then, like just one word also then on the partner - evolution of the partner channel? Thank you.
Aneel Bhusri: So at the time of the acquisition of Adaptive, they had already been working on scaling the products and re-writting their modeling engine for the biggest companies in the world. It was not well known to the marketplace. They were not yet public, but the work was well underway. And we're very pleased with how that work has gone, a big chunk of it got delivered in the earlier part of this year, it continues. But we now have the confidence to sell the companies like AstraZeneca and Airbus, you know two very, very large companies. So the scaling efforts that was already underway has gone really well. They have a world-class, I just say we because - we now - we've got a world-class development team on the Adaptive front and they continue to scale the system to the largest companies in the world and that really was - that was really it. I think it's - it was also the - the other part of it was an investment in the sales side for large enterprise. That's a big - it's a big cost. I think if Adaptive had gone public that would have been a big investment for them. By becoming part of Workday, they were able to leverage our high-end enterprise sales organization immediately and that's paid big dividends as well. On the evolution of the partner channel, we continue to have a broad base of strong partners. Of course, we've got all the big - the big SIs. I think the two big trends in this last 12 months has been they’re embracing of the financial product line and they're embracing of Adaptive. Adaptive was historically not as close to some of the big SIs and as the big SIs have learned more about the products. They’ve got very excited and we expect that that sort of partners are going to be very helpful to us in some of the larger situations that we’re in competing for right now.
Raimo Lenschow: All right. Excellent. Thank you.
Operator: Your next question comes from Mark Marcon from Baird.
Mark Marcon: Good afternoon. Let me add my congratulations. I was wondering, Aneel, if you could elaborate a little bit more with regards to the heightened focus in terms of driving attachment within the existing client base? Could you dimensionalize that in terms of the opportunity and how long would that take to scale up and how quickly do you think that would be visible from the outside?
Aneel Bhusri: I think we’ll do that for you at the user conference at Rising. We typically update that kind of thinking. It’s hard to do in a short call, but we’ll have that for you at the next analyst meeting. And there is, we’re at - and we’ve always been in the high 90s of customer satisfaction. When we come out with new modules, our customers on the margin tend to want to buy from us. There is more opportunity there. But rightfully so the last three or four years have been focused on getting new accounts. But now we have a base that's closing in on 3,000 customers for HR and 700 for Financials and over 4,000 for Adaptive. So we now have a big installed base, and we probably need to adjust our thinking a little bit about how to go back to that base more systematically or not more systematically, probably with a bigger footprint on the sales side.
Mark Marcon: Great. And then with regards to the guidance, typically the subscription revenue guidance has been conservative. I understand the year-over-year compare. You know looking at it from a seasonal sequential perspective, it seems conservative. Is there anything that would drive that this from a seasonal sequential perspective?
Robynne Sisco: Well, we do have some seasonality in our subscription revenue, mostly between Q1 - Q4 and Q1, and Q1 and Q2.
Mark Marcon: Sure.
Robynne Sisco: Based on the number of days. So we do get a tailwind in Q2 which then we don’t get in Q3 and Q4 from that. Obviously, we take a lot of things into account when we guide. We take into account, overall sentiment. Aneel talked a little bit about what he was saying. The fact that this is a more back-end loaded year than we've had in the past, obviously, is weighing on our guidance as well in terms of us having more to close now in this back half than we generally do halfway through the year. So we’re focused on execution. And as I said before, we’ll update you as we get through the back half of the year.
Mark Marcon: Great. Congratulations again.
Operator: We will now take two more questions. Your next question comes from Karl Keirstead from Deutsche Bank.
Karl Keirstead: Hi, thanks. Robynne, simple one for you. You had mentioned three months ago that on the cash flow side, 2Q would be quite limited. $100 million is a little bit more than limited. I trust what happened here is, maybe some of the margin outperformance worked its way down to the cash flow line or were there one or two other things that might have contributed to that over performance? Thank you.
Robynne Sisco: Yeah, Karl, that was definitely part of it. We also came out of the quarter with a stronger collections number than we had gone into the quarter thinking we would have. Obviously, Q2 the seasonal low for us and so it’s a little hard to predict where we're going to land quarter by quarter given we do a lot of our business at the end of the quarters and invoices are due in the back half. So whether they pull-in or slide out is really a bit of an unknown. So we were pleased with our performance on the cash flow.
Karl Keirstead: Got it. Okay. That was it from me. Thanks a lot.
Operator: We will take our final question from Pat Walravens from JMP Securities.
Pat Walravens: Oh! Great. Thank you. Aneel, when I checked this quarter, we actually heard good things about Prism. And so I was wondering if you could tell us how that’s going and then maybe that would be an opportunity, your long time partner spent $16 billion to buy Tableau, so they clearly see some opportunity. So maybe that’s - maybe you could work in your perspective just for the analytic space in general for companies like you and Salesforce?
Aneel Bhusri: Yeah, you know Prism has been a strong performer, continues to be a strong performer. So we had another very good quarter with Prism. I think we’re going to see it go. It’s more and more in the way of dashboards and usability that we highlighted in the prepared comments and a set of applications that sit on top of Prism, people analytics being the first, but you can see financial analytics, spend analytics and this idea of package analytics is really resonating with our customers. So it’s a big part of what we’re doing in many ways. It’s the culmination of a lot of work to show when you have a strong transactional engine, the kind of deep analysis you can do with that data. So it continues to chug along and we only didn’t mention it just because it's Q2. When we get to the Analyst Meeting in a few months, we will show you more detail about what’s happening with Prism, it’s very exciting.
Pat Walravens: All right, great. Thank you.
Aneel Bhusri: I’m very happy for Mark and Tableau. It's not competitive with Workday. We actually used Tableau in some situations internally, like a lot of companies do. At the end of the day, people are using our analytics to really focus in on the data types that we drive HR and financial data types and vice versa. So it’s probably a very good move for Mark and it’s a very good company that he acquired.
Pat Walravens: Great. Thank you for that perspective.
Operator: That concludes the Q2 Workday earnings call. Thank you for joining us today. Have a good night.